Operator: Ladies and gentlemen, welcome to Sienna Senior Living Inc.'s Q3 2020 Conference Call. Today's call is being hosted by Nitin Jain, President and Chief Executive Officer; and Karen Hon, Chief Financial Officer of Sienna Senior Living Inc. Please be aware that certain statements or information discussed today are forward-looking, and actual results could differ materially. The company does not undertake to update any forward-looking statement or information. Please refer to the forward-looking information and Risk Factors section in the company's public filings, including its most recent MD&A and AIF for more information. You will also find a more fulsome discussion of the company's results in its MD&A and financial statements for the period, which are posted on SEDAR and can be found on the company's website, siennaliving.ca. Today's call is being recorded, and a replay will be available. Instructions for accessing the call are posted on the company's website and the details are provided in the company's news release. The company has posted slides, which accompany the hosts' remarks on the company's website under Events & Presentations. With that, I will turn the call to Mr. Jain. Please go ahead, Mr. Jain.
Nitin Jain: Thank you, Andrew, and good morning everyone. Thank you for joining us on our Q3 call this morning. Since the onset of COVID-19, we have been focused on steering Sienna through the spices, always with the health and well-being of our residents and team members being at top priority. Eight months into the pandemic, we are continuing with the relentless efforts to fight COVID-19 and to minimize the impact of new outbreak. While we continue to manage through a very difficult environment, we were able to adjust and strengthen our operations and become more knowledgeable and better prepared in a response to the second wave. We continue to invest in our frontline teams and processes, strengthen the way we communicate and expanded our leadership team. In order to further strengthen clinical quality and resident safety measures across our platform, our board of directors established a quality committee to focus on the quality of resident care and resident experience. This also includes resident and team member satisfaction, safety and many other initiatives directed towards improving the quality of our residents’ life. I'm very pleased that Dr. Andrea Moser joined Sienna as Chief Medical Officer. In her role she's focused on leading and implementing all aspects of medical services, improving our resident quality platform and building on Sienna's virtual care capabilities so that physicians can come to the bedside of our residents by technology, enabling access to broader range of medical expertise. In addition to Dr. Moser, we continued to receive advice from some of Canada's premier healthcare experts, including Joe Mapa, the former President and CEO of Sinai Health System, Dr. Allison McGeer, one of Canada's premier infection prevention and control specialist, and Mary Jane Dykeman, an expert in healthcare risk management. We're also in the process of joining Seniors Quality Leap Initiative, an initiative that helps us to benchmark our quality indicators against international standards and allows us to participate in the sharing of best practices, all with a goal of improved clinical quality and quality of life for our seniors. Moving to infection, prevention and control, during the third quarter, we continued to make good progress in implementing important quality and safety measures and to prepare for the second wave. Our incident management team meets daily to monitor the impact of COVID-19 at our residences, reduce announcements, and changes to prevention directors and provides guidance and oversight for implementing changes through applicable policies and procedures. We enhanced our training and education of team members and have been holding weekly training seminars and webinars, many of which are focused on learnings from the first wave and addressing site specific needs. We also substantially increased our personal protective equipment reserves and centralized our order inventory system through establishing eight regional hubs in Ontario and BC. Each of our residences now has 30 days’ worth of supply and we are grateful for the government's additional supply of personal protective equipment. We've implemented enhanced restrictions for non-essential visitors and non-essential outings in many of our communities ahead of government mandated requirements to do everything we could as COVID cases started to rise across many of the regions in September. During the peak of this first wave, we entered into hospital management agreements at three off our long-term care residences. Our hospital partners support, help us to evaluate and implement additional measures, processes and protocols. In September, two of the three agreements have concluded. Over the past months, we enhanced our pandemic staffing strategy to support our frontline team members and to ensure continuity of care for our residents. Our staffing needs internally through regionally focused talent acquisition teams and further supported by external agencies, who are specifically focused on short-term and ready-to-deploy qualified team members. We are very grateful for the continued government support that helps us cover some of the extraordinary pandemic expenses so far. At the end of Q3, the Government of Ontario announced additional funding for long-term care of over $500 million increasing total funding to over $800 million. As of September 30, approximately $327 million has been allocated to the long-term care sector. The Government of British Columbia has allocated approximately $187 million in funding for costs in connection with additional screening and staffing, infection prevention and control measures and social visitations. The funding is crucial to help offset some of the significant costs driven by the pandemic. Moving to communications, marketing and sales initiatives, we continue to strengthen the way we communicate with our residents and our team members. We launched the team members’ mobile app, which gives us the ability to reach out to thousands of team members in different locations quickly and directly with new information. We also launched a new centralized call center, which supports our communication and marketing efforts with current and prospective residents and their families. Over the summer, we intensified our marketing and sales activities across our retirement portfolio and connected with thousands of prospective residents. We have made significant investments with respect to a digital presence, with a goal to drive online traffic to our website and social media sites and ultimately increase the number of leads as we saw the positive outcomes during the third quarter. In addition, we redesigned our sales incentive program, which successfully converted potential leads to resident movements by the end of Q3. And we started our winter’s vacation campaign for shorter-term stays in our retirement residences over the winter months. Our marketing and sales efforts resulted in a significant increase in deposits and move-ins from prospective residents in our retirement portfolio. Average monthly occupancy was 81.7% in September, up 60 basis points from August and increased by another 100 basis point to 82.7% in October. This positive occupancy trend over the past two months was a result of our intensified marketing and sales campaign ahead of the second wave. The time and occupancy was 81.9% at the end of October and we expect that the second wave will negatively impact occupancy in the coming months. Rent collection levels remained high at over 99%. Comparing year-over-year occupancy rates, the average same property occupancy in our retirement portfolio declined to 81.4% in the quarter from 86.9% in the same period last year. This was primarily related to a decline in new residents moving in due to the impact of the pandemic, including access restrictions. In our long-term care portfolio, average occupancy declined to 87.4% in the third quarter from 98.2% in the same period last year. Long-term care residences are fully funded for vacancies if new residents cannot be admitted due to an outbreak. In addition, we currently received full funding if lost rooms due to capacity limitations of two beds per room. This funding protection, however, does not compensate us for the loss of premiums we receive for preferred accommodations for private and semi-private rooms if they are vacant. The impact of the pandemic is reflected in our financial results, which include the extraordinary expenses to manage the pandemic in excess of government funding. We have made investments in additional staffing, personal protective equipment, property infrastructure, entered into management agreements with hospitals and added additional senior healthcare expertise to navigate the impact of COVID-19. As a result, Sienna's AFFO payout ratio increased to 110% in the third quarter versus last year, excluding the net pandemic expenses, the payout ratio would have been 75%. While we expect a continued increase level of expenses in the foreseeable future, we are confident that we will steer Sienna through the second wave of the pandemic and beyond. We have taken many actions to strengthen our operations, invested in our frontline teams and processes and maintain a solid financial position with a BBB credit rating. In addition, our liquidity remains healthy at $210 million as of the end of the third quarter. These are all indicators for Sienna’s strong fundamentals in the long-term with demand for senior housing expected to remain resilient. There is no doubt the seniors living sector been deeply affected by COVID-19, our recent developments regarding a potentially effective vaccine and encouraging and overall fundamentals for senior housing remains strong. With that I'll turn it over to Karen.
Karen Hon: Thank you, Nitin. And good morning, everyone. As Nitin mentioned, Sienna has taken extensive precautions to manage the impact of COVID-19 and prepare for the second wave of the pandemic. This impact is reflected in our results and key metrics. Going forward, our results will depend on certain developments, including the duration extent of the pandemic. I will start on Slide 11 on our Q3 financial results. Revenue decreased marginally by 0.7% year-over-year to $166.9 million in Q3 2020, compared to Q3 2019. Our same property net operating income of $28.9 million in Q3 2020, decreased by $11.3 million over the prior year, mainly related to net pandemic expenses of $7.2 million. Long-term care, same property NOI decreased by $8.4 million to $14.9 million year-over-year and retirement same property NOI decreased by $3 million to $13.9 million. Excluding net pandemic expenses, same property NOI decreased by $4.1 million largely due to lower occupancy, partially offset by rental rate increases in our retirement portfolio and lower preferred accommodation revenues in our long-term care Ontario portfolio because of vacancies in private and semi-private rooms. It was further impacted by annual inflationary increases in labor costs and higher property expenses, partly due to timing and seasonality. We continue to incur an increased level of expenses to support the cost of fighting the pandemic and minimizing the impact of outbreak. As outlined in detail in our MD&A, there are various programs and financial assistance provided by the government to support pandemic related expenses. It is important to note that there may be timing differences between the time of incurring these expenses and the funding of such expenses. During the quarter, we recorded net pandemic expenses of $9.7 million related to managing COVID-19, a decrease of 8.5% compared to the second quarter, $10.6 million. We maintained higher stocking levels and accelerated recruitment and retention of key members as we entered the second wave towards the end of the quarter. We also incurred management fees for a hospital partner support. This was partially offset by lower per unit cost for PPE and additional funding received from the government for pandemic related expenses. As we overcome COVID-19, related incremental expenses and its overall impact from the pandemic are expected to subside and we expect this will lead to improvement in the company’s operational and financial performance. Turning to Slide 13, Q3 OFFO per share was $0.203 a decrease of $0.161 compared to the prior year. Excluding net pandemic expenses, OFFO per share would have decreased by $0.540 compared to the prior year. The decrease was mainly due to softer retirement occupancy and mark-to-market adjustments in share-based compensation, partially offset by annual rental rate increases in retirement and lower current income taxes. Q3 AFFO full per share was $0.212, a decrease of $0.156 compared to the prior year. Excluding net endemic expenses, AFFO per share, would have decreased by $0.550 compared to the prior year.  Moving on to our balance sheet. Subsequent to the end of Q3, on October 2, we successfully completed $275 million of our debt financing, which significantly reduced near-term debt maturity and improved our long-term debt ladder, the financing, which reflected the confidence placed in our company included $175 million in unsecured debentures, carrying a coupon rate of 3.45% and maturing in February of 2026, and $100 million term credit facility carrying a floating banker's acceptance rate plus 225 basis points. The proceeds from these financings were mainly used to repay existing debts, including the full redemption of Series B Senior Secured Debentures, which were due in February of 2021. With these successful financing, the weighted average term to maturity of our debt has been extended to 4.9 years on a pro forma basis from four years at the end of Q3. In terms of our debt and liquidity Sienna maintains a strong financial position. We were reassigned a BBB credit rating with a stable trend by BBRF in September, ended the third quarter with over $210 million in liquidity and further increased our unencumbered asset pool to over $840 million subsequent to our financings on October 2. Our debt is well distributed between unsecured debentures, CMHC-insured mortgages, and credit facilities. Looking at our debt metrics on Slide 16, our debt to gross, book value increased by 80 basis points to 47.3% year-over-year, mainly due to $107 million drawdown from our credit facilities of which $40 million has been invested in short-term investments to provide us with financial flexibility. Subsequent to the quarter we were paid $30 million of our credit facility. We decreased our weighted average cost of debt by 40 basis points to 3.3% year-over-year, primarily due to increase in our mix of floating rate debt. Excluding the impact of net pandemic expenses, debt to adjusted EBITDA increased to 7.2 times in Q3 from 6.6 times in the prior year and our interest coverage ratio decreased to 3.6 times in Q3 from four times in the prior year. We expect an increased level of expenses for some time. And given the ongoing uncertainty surrounding the impact and duration of COVID-19, we have withdrawn our 2020 guidance earlier this year. In the meantime, we remain committed to providing periodic updates on the impact of the pandemic on our business operations and financial results. I will now turn the call back to Nitin for his closing remarks.
Nitin Jain: Thank you, Karen. We have taken many actions over the past months to review and strengthen our company's foundation. Our initiatives have helped us adjust and enhance our operations, maintain a strong financial position and made us more knowledgeable and better prepared in our response to the second wave. We look forward to further strengthened the future of long-term care and improve our portfolio with the development of older homes. We have started to evaluate how the Government of Ontario’s new long-term care development program could benefit CNS properties. And we have submitted our applications for the program. In our view, the new long-term care development program would make many projects financially feasible. Three of our current development projects are in advanced stages of planning and approval. Our development plans also include the redevelopment of Sienna’s Altamont Care Communities in Toronto into a new 320-bed long-term care campus in partnership with Scarborough Health Network. If built, this campus would provide integrated care for the local community and include 161 new beds in addition to the redevelopment of the existing 159 beds. Since the beginning of March, we have taken many actions. We have further increased our focus in quality, and safety, and strengthened the company's protocols and procedures. We have added over 800 frontline team members.  On October 23 the Ontario Long-Term Care COVID-19 Commission, issued recommendations in relation to increased staffing, stronger healthcare sector partnerships and improved infection prevention and control measures. We were able to share our own experience and observations during the first wave of the pandemic that the commission. As a result of these recommendations, the Government of Ontario announced that they would increase the hours of direct care for each long-term care resident to an average of four hours per day. This change is expected to be faced in over the next four years to five years and be encouraged by these recent announcements, which are expected to help shape and strengthen the long – the future of long-term care. As we look beyond the pandemic, overall sector fundamentals remain strong in aging population, long wait list for long-term care and a slowdown in future supply of a time of residences at all expected to support our sectors outlook going forward. I’m incredibly grateful for our team of over 13,000 what how things Sienna through the first wave of the pandemic, the compassion and resilience, and is now doing everything they can to prevent the spread in our residences during the second wave. Thank you for your participation on the call today. We are pleased to now answer any questions that you may have.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Jonathan Kelcher with TD Securities.
Jonathan Kelcher: Thanks. Good morning. First question just on the increase in occupancy in the retirement portfolio. Have you been adjusting rental rates to drive that or – and what sort of incentives have you been using if any?
Nitin Jain: Thank you, Jonathan, and good morning. Our focus has never been to adjust rental rates. First of all, that’s not a good thing to do long-term and unlike hotels where people don’t talk to each other in a retirement home, residents talk to each other in a smaller good feeling when someone new coming in is paying substantially different lower rates than someone who has been there for some time. Usually what we use in line with other peers would be onetime incentive or house that moving in, that would be – that has been our focus rather than adjusting or lowering rental rates. We would adjust rental rates and markets, for example, if there’s new supply coming in, or we are reacting to some of the factors, but as a common practice adjusting rental rates is not what we follow.
Jonathan Kelcher: Okay, that’s good. And then secondly, just on the government funding, do you think you’ve received all that you will for Q3? Or do you think you might still get some of those expenses covered? And secondly, some of your peers have applied for the choose program. Is that something that you guys are looking at?
Nitin Jain: Sure. So I can answer the first one and Karen can take the second part of the question. We do anticipate future government funding just to use long – on to long-term care, the majority of our funding is, we got around $9.5 million in Q3, our expenses are much higher, that just because of few onetime items such as hospital management fee and others. So we do expect future funding. We don’t really think it’ll cover past expenses, but our goal would be to narrow the gap between what we’re spending versus we’re getting, as we better understand, where and how we need to deploy resources. And Karen can answer your second part of your question.
Karen Hon: Hi Jonathan, so with respect to 3Q, we were allegeable for that program in Q2 and the amounts, however were not significant based on our occupancy changes. And as we know the Qs, program is continuing into as June, 2021. So we expect to continue to evaluate our eligibility and apply accordingly.
Jonathan Kelcher: Okay, thanks. I’ll turn it back.
Nitin Jain: Thank you.
Operator: Thank you. And our next question comes from the line of Brendon Abrams with Canaccord.
Brendon Abrams: Hi, good morning. Just want to focus on the net pandemic expenses came in just under a $10 million for the quarter. Just wondering how we should be thinking about this, maybe moving into 2021 for modeling purposes. And as well maybe second part of the question, if we look beyond COVID-19 or the pandemic, how much of these – let’s call it net expenses, do you think could become potentially structural parts of the business.
Nitin Jain: Thank you, Brendon. I would just say on the current run rate, our primary focus is to keep our residents and team members safe. The magnitude of expenses differ greatly from property to property depending on the level of outbreaks and when there is an outbreak and if significant one really all your forecast is out the window, because you’re doing everything you can do ensure you get additional staff. You might be burning through more personal protective equipment, adding additional staff as needed. So it is very difficult to forecast that because we don’t really have much prediction of how and when outbreaks would happen. Having said that, we continue to advocate for better funding. And we always talked about having a conservative balance sheet than having strong liquidity, which we have been putting to work during the second wave. So it’s – it is difficult to give us a projection. However, on your second question, we continue to believe that majority of these expenses, because they relate to additional staffing, for example, you would have additional staffing for screening or your dining room might be open longer in retirement homes, because there’s only one person sitting on a table, or you might be serving meals in the room. So the residents in both retirement and long-term care that adds additional staffing. So we truly do continue to believe that most of these expenses would go away once the pandemic subsides and given the recent news on the Pfizer vaccine. We do believe that that potentially could happen sooner rather than later.
Brendon Abrams: All right. Okay, yes. That’s very helpful. And then just maybe on the – some of the development initiatives, the one at Altamont and the three others you’re advancing, maybe – can you just give us a sense of how we should think about or how you’re thinking about whether it’s development yields return on investment, et cetera, like how does that look? And then the second part of the question is just in terms of funding, the upfront capital costs over time is there potential to bring in partners? Would you fund this primarily through construction loans, so maybe just some color on returns and then the funding aspect of it.
Nitin Jain: Sure. So let me give you an example of the three projects we have been – we have announced previously, which is Brantford, North Bay, and Keswick, they’re roughly about 160 bed, new additional long-term care beds. And in some cases we might decide to add retirement, which we are reviewing at this moment. If it’s around 160 long-term care beds are the cost is close to $45 million give or take. And our goal would be to put construction financing, currently there are construction financing available for close to 70 to 85%. So there’s a big range there. So if you look at the difference, you’re really looking at around $10 million a project of equity on even low side of financing. But as I mentioned, you can get even a bit higher. And the new redevelopment program, there is an upfront grant you get once the construction is complete, so that with furthers reduce your equity requirement upfront. So our goal would be to really funded through a construction loan and using some of our equity or using our – and when I say by mean equity, I mean weekend cash flow, you’re not looking to go into market for something like this. And we look at development deals and for these – those three projects, we are – we think we can get a development deal of around 8%.  The Altamont project is a bit different. In that case, we are working back with Scarborough Health Network. We believe that would be a great partnership and we believe the first one Ontario between a hospital and a private company. So we are still in early stages of operating that the funding is different, because it’s in Scarborough that the new government program at hold by location. So I – it’s too early for me to reflect on the yields there, but to your point, we are partnering in that project.
Brendon Abrams: Okay. That’s great. I’ll turn it over. Thank you.
Nitin Jain: Thank you.
Operator: Thank you. And our next question comes from the line of Himanshu Gupta with Scotiabank.
Himanshu Gupta: Good morning. So just to follow-up on the pandemic expenses in the LTC segment on funded $6.4 million in Q3. What was the amount of one-time items in the Q3 number and which you think will not be repeated in Q4?
Karen Hon: Hi, Himanshu. During the quarter, we incurred $2 million of hospital partner management fees. We really appreciated their expertise in support, three of our long-term care residences. And as was mentioned, two of those agreements have concluded in September. So we would view those as one-time expenses. Looking at the amount of unfunded pandemic expenses, again, that Nitin touched on, it is really thing with the staffing is we have to be conscientious of now, we are in the second wave. So during the quarter, as we were gradually adjusting staffing, the case cost started to rise again. Even though, during the summer, our cases were low and then we actually achieve a zero active resident cage for about five weeks. So when second wave hit us again, we make sure that we did everything possible to be ready for the second wave, to ensure that we have adequate staffing and at the same time accelerated this recruiting and retention of our frontline team members and so that to higher pandemic labor expenses. Included in our results is also a bit of those our Sienna’s pandemic thing that is included in Q3. And that program has ended during the quarter as well.
Himanshu Gupta: Sure. So barring these one-time expenses outside around $2 million, so can we assume the unfunded level of expenses in Q4 could be very similar to Q3, I mean, as of today.
Nitin Jain: Unfortunately, Himanshu, we don’t really have any guidance on that, because first, we don’t know what the government would fund we can only make a guess. And secondly, we can make some adjustments and if a home is not an outbreak, what we would be spending. But when it goes into an outbreak, depending on the severity of it, where we are located and depending on how – what happens with staffing. It is very difficult to forecast that. So unfortunately, we don’t really have any guidance for you for Q4.
Himanshu Gupta: That’s fair enough. And just bigger picture, I mean, it sounds like government is providing certain level of expenses to get through the pandemic. But I think the level of care that you provide the expenses are much higher. So is there a way you can adjust your LTC operations, so that you will incur expenses, which are in line with the government. I mean, is that what government is asking the long-term care operators to be.
Nitin Jain: Yes, that’s an interesting question. Again, that’s not a hobby look at it. I have no – government is obviously doing whatever they can do help. It is a global pandemic and everyone is getting impacted. So we understand we would have to bear some of the pain of that rather than just the government only. And our focus has not been to see – what we’re not starting with, this is how much we have to spend. Let’s come in line with that. What we are starting with, this is what we need to do to ensure everyone is safe and healthy, and the funding would be what it would be. Again, that’s not the long-term viable strategy, so if that continues on for two or three years. We will have to look at it. But we all believe that especially given the recent vaccine announcement that this is not a long-term thing. This could be a short to medium-term valid over next to six to nine months, before vaccine is commercially available. So at this stage, we did not really – our focus is not to spend what we are getting, our focus is to spend what we need to spend, but to do it in a disciplined manner. And hopefully, those things will start to convert what – and versus what these again.
Himanshu Gupta: Yes, absolutely – that absolutely makes sense. And just switching over to retirement home occupancy, just to a follow-up there. So obviously, occupancy up two months in a row, what led to outperformance there? And it sounds like, in your previous answer you said, you’re not providing much incentives. Is it the sales program or something else, which led to the outperformance?
Nitin Jain: In around early August, we really started to focus if even from a management team perspective, we kind of taught about who’s working on the crisis and who’s working on the strategy for the company. Because I think if you all work on crisis, we’ll wake up off of the pandemic and have a company which is not really focused on strategy. So in the first wave, our Ontario retirement portfolio or retirement in general was not impacted significantly by COVID-19. And the team had started to focus keenly on ensuring they’re driving the right marketing campaign, spending what we need to spend from a digital perspective and to ensure that we are calling all the previous leads that we had, because we believe there’s a pent up demand as people are not able to visit. And that happened to be true. We had significant uptick in people taking tours when restrictions are lifted, and that’s really what drove our occupancy. And then August and September are – middle of August and early September, we were quite optimistic that this is just the start of something great. But we can build on it, I would say based on what has happened, we will now call it, refueling our tank. So we know people would leave as they get failure, they might have to move into long-term care or hospitals, which we cannot stop. So we kind of got ready by having as many people as we can add to a portfolio. And we will continue to do that once the second wave subsides or comes down a bit. The reality is our virtual tours continue to be quite strong. And in some locations, which are not hotspots where we are safely able to do so, we continue to have in-person tours, including as late as last week. And again, only do it in places which are not an outbreak, which are not in hot region. So again, we continue to be cautiously optimistic and the forecast for retirement occupancy. And if it wasn’t for the second wave, we would be even be comfortable sharing a bit more in terms of forecast and others, but just not at this point.
Himanshu Gupta: Got it. And I think you mentioned about the winter short-term stays or Staycation, how much did that contribute to occupancy growth in the month of October. Or do you think they will now be reflected in the month of November?
Nitin Jain: What we have is some fully furnished suites for some of those prospects, who cannot travel south as many people do in every year. It is really going to be the fourth quarter and early first quarter, we will see some results it’s too early to predict that.
Himanshu Gupta: Got it. Okay. So just last question from me, on Bill-218, is that very similar in design to the production you would have in the British Columbia or is it a bit different. And then I’m assuming it will be retrospective and will that cover anything and everything from March and August?
Nitin Jain: So again, our understanding is Bill-218 will provide a degree of civil liability protection is similar to what exists in BC. And the Bill frankly recognizes the circumstances of COVID-19 and protect those who responded to this crisis in good faith. And our understanding is that it would be retroactive to March.
Himanshu Gupta: Awesome. And does that mean that, couple of lawsuits which you have in the first wave that will be covered under that Bill as well?
Nitin Jain: Again, we don’t really comment on lawsuits if it's too early to review them anyways. And again, that is something when they become a bit more real. And based on the advice from insurance companies and lawyers, we can provide further information, but it's too early to comment on it.
Himanshu Gupta: Got it. Fair enough. Thank you so much. I will turn it back.
Nitin Jain: Thank you.
Operator: Thank you. Our next question comes from the line of Pammi Bir with RBC Capital Markets.
Pammi Bir: Thanks and good morning. Nice to see the increase in deposits in Q3 although occupancy did slip in October, what can you share with us in terms of maybe deposits or lease commitments thus far that have come through in Q4?
Nitin Jain: Thank you. Hi, good morning, Pammi. As I mentioned, even as late as last week, we continue to see new virtual tours, some in-person tours, we have had a good sense of deposits even in the first half of this month, so far. So things have not slowed down to zero, which is very positive. Obviously they are not in a stage what they would be otherwise, high-level our deposits so far for the month of October around call it three-fourth or 75% of what you would have seen the year before. And hopefully we'll see something similar in November. The challenge is really, how do you stop the move-outs because as people get frailer and at certain stage, they will start moving into hospitals or into long-term care wherever it is possible to move into long-term care. So again, we see good traction, we have not – our deposits have not gone down to zero. We definitely see some positive traction. What is hard to predict at this point is how many people would move out.
Pammi Bir: Yes. Thank you for that. Thanks, Nitin. And, just in terms of the advisors that you still have on board, do you expect that these costs and I guess this advisory group will continue into next year and just curious on perhaps the implications from a G&A perspective?
Nitin Jain: Sure. One of the advisers was, Dr. Andrea Moser and we did hired her full-time, so she would be working with us full time and we are very excited that the rigor she would bring to our medical practices and others on overall company. The rest of the health care advisers that I've mentioned, a majority of the cost has already been spent there would be some going forward next year. But we do not see a significant impact of those costs. Some of the G&A costs would be mortared on crisis management or commission, legal work. So again it's hard to predict depending on the next stages of those things.
Pammi Bir: So I guess in terms of the, I think it was 2.5 million or 2.6 million of G&A costs, a pandemic-related costs in G&A in Q3. I think in last year you talked about maybe 3 million for the back half the year. So it seems like the majority of that has essentially been spent maybe a little bit more ago.
Nitin Jain: We do expect some pandemic costs to continue on. I just think its hard Pammi to give you an insight of what it might look like, because I know whatever we tell you would be wrong because again, we don't really have a view of what it could be to quantify at this point.
Pammi Bir: Yes. Understood. I guess just in terms of the potential, long-term care project in Scarborough, when would that project be completed, if it were to proceed?
Nitin Jain: That project is still in the early stages. The likelihood of us announcing showers in the ground are much higher for the other three projects that we talked about, because in many cases, in all three of those cases, it's greenfield, nothing exists on that site. In some cases, we even have site plan approval. We have quite a bit of design work done. So they would be much ahead and they could be in ground depending on few of our other priorities in the next 12 months to 18 months. The Scarborough, ON is still – we started working on it last couple of months, so it's still in early stages, there's quite a bit of work to be done there. So it's hard for me to provide you any timing for the Scarborough project.
Pammi Bir: And just on the three projects. Can you just remind us again, sort of what – how much spending you expect to incur, I guess, over the next couple of years?
Nitin Jain: Sure. So each project is around $45 million or so, our goal is to start maybe two potentially in the next 18 months, and then the one after that. So we expect at any given time close to have $100 million of development on our books when things ramp up, because it will not be zero to $100 million in a day, it will be, few months before it gets to that point. And, there's a very clear line of sight or good visibility into construction financing, 75% to 90% what is available for it. So we would – that's what we would be doing and the balance, call it 10 million to 25 million and it'll take some time to get to the 25 million thing, we would fund it to our cash flow.
Pammi Bir: Thanks very much, Nitin. I will turn it back.
Nitin Jain: Thank you.
Operator: Thank you. Your next question comes from the line of Tal Woolley with National Bank Financial.
Tal Woolley: Hi, good morning.
Karen Hon: Good morning, Tal.
Tal Woolley: Just in terms of managing the outbreaks, are you finding now that like, from an operational perspective, like the – don’t know the right way to phrase this, but basically that, like, you're getting more efficient at controlling these, like are you seeing an improvement sort of in how these are being managed in the home versus where you were sort of at the start?
Nitin Jain: Hi, good morning Tal. I think there are three things which are different in the second wave and then the first way. The first one is a universal masking, didn't come till April. Now everyone is wearing a mask and ensuring they are wearing the rest of the personal protective equipment and there's also readily available now, so that is the first one. The second one is a single site, because in all of our residences in Ontario, especially even ahead of government directive, we stopped all visitors into long-term care into Ontario. So that has obviously helped. And the third one is universal testing where people are getting tested every two weeks. So that has been in our view, one of – the three key factors of why there are a number of outbreaks might be less, having steps of what is different now is more people are getting tested. So it's a combination of that and things are not being shutdown. So I think in Ontario so far, we have10 days of more than 1,000 cases. And to run any long-term care or retirement community, you need people, you need team members and they would go home and come back to work. And this is how COVID would get into most of the places. And there's really no way around it, because even with the two week testing, they would have some delay in that. So it is different than the sense that there's – those three factors, but also people are dealing with the reality of the economy and not shutting it down completely. So, that's what we are struggling with and where we're seeing significant outbreaks is, would be in the GTA area, which have one of the highest count of COVID cases in Canada. So that's the reality what we're dealing with. And a big part of it really is luck. Two properties could be at the same place, with the same quality standards. And one could have three people who somehow got in touch with COVID and other the property no one. So it is very hard to predict that.
Tal Woolley: Okay, that's understood. Just going back to the development, you'd mentioned these projects for about 160 beds of about $45 million, is that federal rent would translates to roughly 280,000 give or take per bed. Is that like, we're thinking about as more of these announcements go forward, is that a reasonable sort of number for us to think about when we're trying to budget in our head, how much these things might cost?
Nitin Jain: I would say anywhere depending on site, anywhere from 260,000 to 300,000. I'm just giving those numbers out just as a midpoint. So if you have anywhere 260 to 300 per bed, is what we're seeing now. Obviously construction cost is probably the only thing which never slows down. So, there's continued inflation in it. So, take it for the number as a point in time that those other kinds of costs that we are seeing.
Tal Woolley: Okay. And then just on the redevelopment of these properties like, I mean, maybe we can use Altamont as an example, so assuming you have the green light to proceed with the new campus, does the existing facility like back in a run all the way through, or is that capacity to get taken offline? I guess like, what I'm trying to figure out is like, as we – as the whole system works through this redevelopment phase, like the capacity of the system going to get even more acute, because we're going to have to start taking beds offline. Not because they're in three and four bed wards, but also just because we're redeveloping the facilities.
Nitin Jain: So our development program is really two different kinds of development. Then I think I would just bucket these three developments in North Bay, Brantford and Keswick separately than the one in Scarborough. So the cost estimate I gave you were for those three properties in all of those cases, they are Greenfield. So they're not on existing site, where the current long-term care operations are. So building these new would have no impact on current operations for the three projects.  The fourth one, which is Altamont and Scarborough, in that case, it would be actually demolishing the current site and building on top of it. And part of the challenge is to ensure how do residents and team members get impacted. And that is part of our due diligence at this stage. And how do we ensure that there's a place for those residents and employment – potential employment for those team members?  So that is the work we're doing. So that is a quite a bit different than that is driven by the reality of not really many GTS sites being available? There's some, the government recently came out with three different sites and they are reviewing them if they could be an option. So those are kind of the things we were working on at the current time, but they're two very different kinds of projects in Scarborough versus the other three.
Tal Woolley: And has there been any conversation about how to handle the license expiries for the older beds with the government? Because obviously they're not going to get through all of this prior to when the older licenses expire, and I know the licenses can be a bit of an overhang in terms of funding financing.
Nitin Jain: For sure, I know our association has a continued dialogue in terms of license expiry, because it would be very difficult to rebuild all the 30,000 beds in the province by 2025. I think it would not be feasible to do that frankly. So, again, that's what our association actively continued to do work with the government. And I do think there's an understanding when this 2025 was announced, I think it was around three or four years back, if I'm not wrong, actually five years back and there has not been much development because the previous three development program did not really work at all. I think they were close to 600 beds built in the last five years. So this new program is going to be feasible, but what was difficult to do in 10 years, I'm not sure how would be achieved in four now. So we do expect something to change in that, but it's hard for us to predict public policy.
Tal Woolley: Okay. And then, just on the occupancy moves between September and October, like, was there anything unique, in terms of the way, like, were you expecting a lot of occupancy last October, it just seems like it’s a fairly meaningful reversion versus trend and versus what some of your peers are reporting. 
Nitin Jain: I would say it was a lot of elbow grease, to people really focused on making sure that the – for the team that they're doing everything they can. We looked at our team structured a bit. We looked at how people were, like our sales team was incentivized. So I wish I could tell you, it was some a cool new campaign. It wasn't that it was really team working all out to ensure that it was happening and had a singular focus on it to ensure we do that from a sales and marketing perspective and following up on all the leads we have had in the past. So that is something we are very proud of and we feel we can do more off if but obviously the second wave is going to dampen our enthusiasm as it comes to that.
Tal Woolley: Okay. And then I think that is it for me. I'll leave it there. Thank you very much. 
Nitin Jain: Thank you. 
Operator: Thank you. Your next question comes from the line of Yashwant Sankpal with Laurentian Capital – Laurentian Bank. 
Yashwant Sankpal: Good morning.
Karen Hon: Good morning, Yash.
Yashwant Sankpal: If I understand this correctly, you have – in your long-term homes, you have vacancy even in your private suites, is that right?
Nitin Jain: So right now long-term care is running at it on 87% occupancy because in many areas, I mean, as that has not changed in terms of lens really control when people move into long-term care homes and given the – if home is an outbreak, or if it's in a hot region, the number of movements are quite muted. So that we are running at 87% occupancy across the portfolio, which includes the A homes. So yes, we will have vacancy in a private beds as well. 
Yashwant Sankpal: Okay, so if home is an outbreak, the government covers the occupancy, but it doesn't pay you any premium accommodation, premium for premium accommodation, is that right?
Karen Hon: That's right, so the government is covering us for full occupancy until the end of mid year. However, what we have launched is the copays from residents on that premiums for semi and semi products that has – those have a portion of the room have become vacant at commissions of fostering outbreak.
Yashwant Sankpal: Okay. Now, I just want to focus on the $4 million and I'll talk excluding the pandemic expenses. So how much of that would you attribute to the premiums that you're not receiving, or anything down would be great?
Karen Hon: Yes, so we've shared that the loss of preferred revenues is about 600,000 for the quarter. And that is not included in our net pandemic expenses. Net pandemic expenses really represents the incremental expenses we have incurred to manage the pandemic, net of related government funding.
Yashwant Sankpal: Right, I just want to get the breakdown of the $4 million you talked about that is excluding net pandemic expenses the NII drop of $4 million.
Karen Hon: All right. So you're referring to long-term care.
Yashwant Sankpal: Yes.
Karen Hon: So I know included in that is net pandemic expenses. And beyond that we have, again, the loss and preferred revenues, and then we also have incurred additional property expenses, such as utilities was seasonally higher as we have experienced a very warm summer and early start to that, as well as, deferred maintenance expenses from notes the first half of the year where the pandemic was restricting access. And so much of that work is now heavier on the quarter and expecting to be such for the remainder of the year as well.
Yashwant Sankpal: Okay. Switching gears, just want to get some idea of how much increment cost you incur when property on a home goes into outbreak generally.
Nitin Jain: I think, hi, good morning, Ash. It is a very difficult question to answer, because outbreaks are not all similar. You could have an outbreak there, few team members with tested positive, and they are at home isolating, and there is no resident, which has tested positive. And in that case, your cost might be limited. In other scenario, you could have significant residents and team members both tested positive. So now you're looking to bring agency staff, you're adding up more staffing than you need to before, because you want to make sure that people are checking on the residents more often. All the regular things shutdown, such as eating in the dining room or other. So it is very difficult – there is no really one formula which applies if it's an outbreak, what happens? It really is a case by case scenario, and it would look very different in a retirement home versus long-term care. And it'll also look very different of a long-term care home is an A or C building. So it is – there's really no one cost structure, which works.
Yashwant Sankpal: Like, can you give us a range? The reason I'm asking is I've tried to understand how, like – if the company like Sienna is facing this, what happens to a small mom and pop operator when their facilities in outbreak?
Nitin Jain: That is correct? It is a province-wide issue or a countrywide issue in our view and you're right, we've describe significant pressure; because there's really, the three things, which drive? What happens? I would say the majority of it, if it's out of 180% of it is luck, 15%, on the last 20% is location. And maybe a little bit off your prep work, because that is really the, um, you know, if someone walks into your home with COVID-19, it is very difficult to find that out, even though with two weeks testing. So are we completely agree that, it is a difficult time for everyone, including the smaller owners and operators that they're a municipal, uh, for -profit or charity and the same applies to us.
Yashwant Sankpal: Okay. How the pandemic expenses you incurred in Q2, did you record any of them in Q3 at all?
Nitin Jain: Again, it just – we got additional funding in Q3, but we incurred more expensive in Q3. So we can look at it as – some of it is for recovery of Q3 is essentially spending more on the recovery of what we got. So again, we do not anticipate our previous expenses to be covered in the future. Again, our goal would be to ensure that we are spending money in a disciplined manner, so they start to converge. And if it wasn't for the second wave, we could see a path for that conversion. But during a second wave again, the focus is not on cost but focus to ensure that we are keeping people safe. So again, it's hard to predict that for the next quarter.
Yashwant Sankpal: No. I'm not trying to forecast it, but I'm just trying to understand. So for example, you have incurred $20 million of non – sorry, net pandemic expenses. So should we – is it fair to assume that it's like it's gone out of your pocket?
Nitin Jain: Yes. That would be a fair assessment. Not sure how much of it could be recovered; some of it could be over the new funding program, but we do anticipate a good amount of it might be ours. Some of it is related to G&A, which we know would not be funded. Some of it is related to, for example, there was a pandemic pay, which applied to frontline workers in the first wave, but we did something additional for our management team for those homes as well, because they worked equally hard. A lot of them were working 24/7 in those homes. So we understand that would not be funded and that we're okay with that. So again, I think a good chunk of it, we do not anticipate funding backwards for the $20 million.
Yashwant Sankpal: Okay. And moving on to your distribution and payout ratio, I'm sure the Board and management – you're regularly discussing this issue. So just want to understand, at what point would you be forced to consider a cut? Like, do you guys have any internal matrix that you track? How should we think about it?
Nitin Jain: It really comes down to our comfort with liquidity and the strength of a balance sheet. In August for example, when we had zero cases and – but we had a big refinancing risk, we were looking at it in a certain way when the refinancing risk is gone, you're looking now at in a different way, but now you have a bit more expensive. And to just for context our payout ratio is more than 100%, but just – we paid dividends around $6 million in a month, but our liquidity is $210 million. So again, what we might be funding might be $0.5 million or $1 million over 100% payout ratio. And as we talked previously, our focus has never been on a payout ratio. Our focus is to ensure what's the – do we have enough liquidity? So this is something we'll continue to monitor. And again, given that there is a potential vaccine in the horizon, and this would be a six to nine months thing. Again, our goal would be to keep the way things they are, but to review them on a consistent basis?
Yashwant Sankpal: That's it for me. Thank you.
Nitin Jain: Thank you.
Operator: Thank you. And our next question comes from the line of Joanne Chen with BMO Capital Markets.
Joanne Chen: Hi, good morning. Most of my questions have been answered, but maybe just a really quick one. just to tie things up. Have you noticed any change, I guess in terms of the competitive environment from the summer and to now given the [indiscernible] the environment has changed in terms of the number of cases. Are you seeing things getting a little bit more competitive now as we enter into kind of November, December?
Nitin Jain: Hi. Joanne. When you say competitive, you mean for the retirement residents?
Joanne Chen: Yes. I'm sorry. Yes, that's correct. Sorry.
Nitin Jain: It's – the competition is so local enough in all of our communities. So again we haven't, everyone is running at a much lower occupancy. So that's the – the, instead of a competition, I think the focus really has been to ensure that we're reaching out to people in a proactive manner, understand their individual needs, what they might be looking for. So really there's no significant change in competition. And again overall the sector, we don't really see lot of price cutting because it's not the right message for the current residents and it's not really sustainable long-term. So it really is the focuses what is the right fit for each different resident or prospective residents; so really no change in competition from our viewpoint.
Joanne Chen: Okay. Got it. And maybe this is a much more longer-term question, but just given the cost pressures that we've seen with this pandemic, and your discussions with government, is it too early to tell whether to see, whether going forward there's going to be a permit change in terms of the cost structure, within the long-term care business?
Nitin Jain: Sure. The recent announcement of increasing the direct care hours to four hours, and care has always been funded by the government to any operator of any kind, but that's profit not-for-profits. Our municipal do not make any money off it. So we do anticipate as those care hours go up, that there would be additional funding for it. So we don't really see a big, and which is a positive thing to actually increase the number of care hours. So we do not see a significant change in the overall cost structure for this business. And the positive is that, development – the new development program is not financially feasible and be able to see some development there. So that, that would be again in our view positive.
Joanne Chen: Okay. Got it. And that's it from us, and I’ll turn it up.
Nitin Jain: Thank you.
Operator: Thank you. And I'm so no further questions. So with that, I'll turn the call back over to Nitin Jain for any further remarks.
Nitin Jain: Thank you everyone for your time. And we look forward to speaking to you in our next quarterly call. Thank you
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. And you may now disconnect.